Operator: Good day, and thank you for standing by. Welcome to the fourth quarter and full year 2025 NCS Multistage Holdings, Inc. earnings conference call. At this time, participants are in a listen-only mode. After the speakers’ presentation, we will open up for questions. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today’s call is being recorded. I would now like to hand it over to your speaker today, Corbin Woodhall, Hayden Investor Relations. Please go ahead.
Corbin Woodhall: Thank you, Victor. I would like to welcome everyone to the conference call and thank NCS Multistage Holdings, Inc. management for hosting today’s call. Us on the call today are Mr. Ryan Hummer, CEO of NCS Multistage Holdings, Inc., and Mr. Mike Morrison, the CFO. I want to remind listeners that some of today’s comments include forward-looking statements, such as our financial guidance and comments regarding our future expectations for financial results and business operations. These statements are subject to many risks and uncertainties that could cause our actual results to differ materially from any other expectations expressed herein. Please refer to our most recent Annual Report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today, as well as the results of operations included in our earnings release, contain the following non-GAAP financial measures: EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted EBITDA less share-based compensation, adjusted gross profit, adjusted gross margin, free cash flow, free cash flow less distributions to noncontrolling interest, net working capital, return on invested capital, net operating profit after tax, and average invested capital. These non-GAAP measures and reconciliations to the most comparable GAAP financial measures are provided in our quarterly earnings release, which can be found on our website at ncsmultistage.com. I will now turn the call over to Ryan Hummer.
Ryan Hummer: Thank you, Corbin, and welcome to our investors, analysts, and employees who are joining our fourth quarter and full year 2025 earnings conference call. I will begin my discussion with the financial highlights for 2025, and I will review certain commercial and operational accomplishments from 2025 and early 2026 that are aligned with NCS Multistage Holdings, Inc.’s vision and core business strategies. I will also discuss the integration of ResMetrics, and outline our strategic objectives for the year. Mike will follow, covering the financial results for the quarter and our near-term guidance. 2025 was a very important and successful year for NCS Multistage Holdings, Inc. Strong performance in the fourth quarter capped a year in which we exceeded the high end of our guidance range for the quarter and full year, for revenue, adjusted EBITDA, and free cash flow. Year over year, we grew revenue by 13% compared to 2024, and 10% excluding the contribution from ResMetrics, which we acquired in July 2025. We achieved revenue growth in each of the U.S., Canada, and international markets despite the challenging industry environment. Adjusted EBITDA increased by 20% year over year, outpacing our revenue growth and reaching $26.7 million with an adjusted EBITDA margin of 15%. Free cash flow, after distributions to noncontrolling interest, totaled $18.9 million and represents over 70% adjusted EBITDA-to-free cash flow conversion, which highlights the impact of our asset-light model. We strengthened our balance sheet while completing the strategic acquisition of ResMetrics, enhancing our global position in the tracer diagnostics space. ResMetrics is a highly complementary addition to our business that I will discuss further. So starting with our strategy, our vision at NCS Multistage Holdings, Inc. is to advance more efficient, intelligent, and sustainable energy development by enabling unmatched well performance. In practice, we deploy this vision in pursuit of the approximately $10 billion global completions market through a cohesive product and service offering that is designed to enable our customers to reliably maximize the value of their unconventional assets. This applies across diverse markets, in the more mature markets in North America, in emerging, high-growth unconventional developments in Argentina and the Middle East, and in more conventional geographies like the North Sea and Alaska, where we are successfully deploying unconventional technologies and techniques, collaborating with our customers to open new markets for our products and services in technically demanding environments, including innovative solutions for heavy oil utilizing steam-assisted gravity drainage, or SAGD, for deepwater offshore markets, and for enhanced geothermal systems. We also continue to partner with our customers to pursue further applications of our products and services during the production phase of the well. As we have discussed before, we have three core strategies that are supported by two guiding principles. I will review each, including recent progress, to demonstrate how we are creating long-term value for our stakeholders. The first core strategy is to build upon our leading market positions. This includes our market share and relationships in Canada, our extensive global track record in fracturing systems, and our expertise in tracer diagnostics, which has been strengthened through our combination with ResMetrics. This strategy is evident when we partner with our customers to introduce our solutions in new markets, often based on our extensive track record and the partnership that we have built with our customers over time. An example includes the first use of our fracturing systems technology for stimulation in a SAGD project in Canada in 2025, which also utilized our tracer diagnostic services to corroborate production results. Another example is the first expected installation of our Raytec Propex sliding sleeve system with integrated screen technology that we expect to deliver to our customer later this year for use in the deepwater Gulf of America. A second core strategy is to capitalize on high-margin growth opportunities worldwide. Over the years, I have highlighted the growth of our customer base in the North Sea, which continues to expand. We have received orders from two new customers already this year, each operating in the Dutch sector of the North Sea. We completed our first well in the Middle East utilizing our fracturing systems technology in 2025 and expect further applications in that market in 2026. And we have made the first sales of Repeat Precision frac plugs in the Middle East in 2025 with continued sales to two customers in the region so far and continuing during 2026. Our final core strategy is to commercialize innovative solutions to complex customer challenges. This proved to be an effective and exciting year for us with several significant achievements. In Canada, we recently installed our first Terrus AICV system, which has an integrated autonomous inflow control valve to improve the production profile of more mature wells, reducing produced water volumes while allowing for potential increases in oil rates. We look forward to additional installations of this system during 2026. Customer adoption of our StageSaver solution at Repeat Precision has been a meaningful contributor to growth, with new customers added during 2025 and early 2026 reflecting the value that our customers place on the contingency mitigation offered by the product, paired with the proven performance of our Purple Seal frac plugs. We are capitalizing on our investments in new tracer diagnostic solutions, including our RapidTrace on-site tracer detection solution, our Luminate multi-day composite samplers, and expanded use of ResMetrics SmartProp particulate tracer into Canada and other geographies. I will now speak to the two guiding principles that underpin our long-term strategy. First, seek to maximize financial flexibility. Our business model reflects this strength, with a net cash position at year end of approximately $29 million and an undrawn revolver. During 2025, we generated $22 million in free cash flow, $19 million of which is free cash flow after distributions to our noncontrolling interest. This free cash flow after distributions constitutes over 70% of our adjusted EBITDA for the year, reflecting meaningful conversion, especially considering our 13% year-over-year revenue growth. Our second guiding principle is to uphold the promise. Our company values are embedded in the promise, which represents the commitments that we make as a company to our employees, customers, vendors, and other stakeholders related to how we conduct business. It also speaks to our focus in the areas of technology, quality, health, safety, and the environment. Now I will provide a brief update on the integration of ResMetrics. This combination immediately strengthened our tracer diagnostics platform, increased our exposure to new markets in the Middle East, and aligned well with NCS Multistage Holdings, Inc.’s culture and our capital-light business model. I am pleased to say that we are operating under the ResMetrics commercial brand in the U.S., having integrated our sales and business development team. We have also upgraded our laboratory information management systems to incorporate certain ResMetrics processes, allowing us to uniformly plan and execute jobs for our customers. Operational and manufacturing integration will soon follow, with manufacturing and U.S. lab operations to be centralized in Tulsa by midyear. We have a clear line of sight to achieve the cost savings that we identified with this transaction, and we are progressing to deliver on revenue synergy opportunities we originally characterized as upside potential from the combination. I will close this section by reviewing our goals for the year, which are straightforward and are aligned with our long-term strategy. In 2026, we aim to grow revenue in excess of underlying market activity in the U.S. and internationally, with an objective to grow total revenue relative to 2025 inclusive of a full-year contribution from ResMetrics. We are targeting the conversion of more than 50% of our adjusted EBITDA to free cash flow. We expect to advance commercial adoption of our recent and new technology introductions, drive further commercial success for our product and service offerings, and also continue to penetrate the newest markets that we have entered. We are working to continuously improve our employee engagement and to ensure workplace safety, and we expect to advance initiatives currently underway to participate in higher temperature and production markets, to drive better data-enabled decision-making, and to expand our gross margin by implementing strategic actions to drive our efficiencies and optimize the cost and performance of our products and services. Mike will now provide more detail for our results for 2025 and our guidance for 2026.
Mike Morrison: Thank you, Ryan. As reported in yesterday’s earnings release, our fourth quarter revenues were $50.6 million, a 13% increase compared to the fourth quarter of last year, and comfortably above the high end of our guidance range. Growth for the quarter was driven by healthy double-digit percentage improvements in both product and services revenue. From a geographic standpoint, the U.S. led with a 69% year-over-year increase, with international up 5% and Canada down 7%. The increase in the U.S. was due to the improved NCS Multistage Holdings, Inc. fracturing system sales, higher plug revenue from Repeat Precision, and a $2.9 million contribution from ResMetrics, a business we acquired on July 31, 2025. The decline in Canada for the quarter reflected moderately lower activity levels due to a general market headwind. Our fourth quarter revenues were the highest of the year and sequentially increased by 9%, with increases in Canada and the U.S. partially offset by a decline for international. Our adjusted gross profit, defined as total revenues less total cost of sales, excluding depreciation and amortization expense, was $21.2 million in the fourth quarter, representing an adjusted gross margin of 42% compared to an adjusted gross margin of 43% for the same period in 2024. Despite the favorable contribution from ResMetrics, the slight decline in adjusted gross margin was attributable to the mix of international tracer diagnostic jobs and fracturing system service activity, positively offset by an expansion in gross margin for our product sales. Selling, general and administrative costs were $14.2 million for the fourth quarter, down 5% compared to the same period last year, reflecting the timing of incentive bonus accruals recorded in the fourth quarter last year, as well as lower professional fees and share-based compensation expense associated with our cash-settled awards, which we recognize as expense as our stock price changes. During the quarter, ResMetrics contributed $600,000 to our SG&A. The provision for litigation, net of recoveries, was a benefit of $900,000 and resulted from a 2025 ruling by the Federal Court of Appeal of Canada, which remanded a prior judgment against NCS Multistage Holdings, Inc. in a patent dispute to the trial court and reduced the cost award. Accordingly, $900,000 of the cost award was returned to NCS Multistage Holdings, Inc. in November 2025. Other income of $1.1 million declined from $2.4 million for 2024, driven primarily by timing of royalty income licenses associated with our intellectual property, with 2025 activity aligning with our expected normalized rate of approximately $1.0 million per quarter. Net income for the fourth quarter was $15.0 million, or diluted earnings per share of $5.34, which included a positive impact of $9.8 million related to the release of our deferred tax valuation allowance. This reversal demonstrates confidence in our continued profitability and our ability to fully utilize our deferred tax assets in the future. Adjusted EBITDA was $9.2 million, or an adjusted EBITDA margin of over 18%, which exceeds the high end of our quarterly guidance range and is above the $8.2 million for the fourth quarter last year. Now turning to our full year 2025 results. Our revenues were $183.6 million, an improvement of over $21 million, or 13%, compared to 2024, exceeding the 5% midpoint of our initial guidance range for the full year. Excluding the revenue contribution of ResMetrics, which totaled $5.2 million for the five months following the acquisition and was slightly above our expectations, revenue for the year increased by 10%. All regions delivered an increase in total revenue for the year. Our adjusted gross margin for fiscal 2025 was stable at 41%, a slight decline of approximately 40 basis points compared to last year. For 2025, our SG&A expense was $58.8 million, an increase of $1.0 million compared to last year. ResMetrics contributed $1.1 million of SG&A in 2025, while increased share-based compensation expense also drove higher SG&A expenses. However, these increases in SG&A were partially offset by lower professional service fees, R&D expenses, and other SG&A reductions. Other income declined to $4.8 million from $7.3 million in 2024, primarily driven by the timing of royalty income recognition we previously discussed. Also, the prior year benefited from a technical service agreement with our local partner in Oman that ended in November 2024. Net income for 2025 improved to $23.7 million, or diluted earnings per share of $8.65, which includes a net positive impact of $11.5 million related to the release of our U.S. and Canadian deferred tax valuation allowances, as previously discussed. In the prior year, net income was $6.6 million, or diluted earnings per share of $2.55. Adjusted EBITDA was $26.7 million, up 20% compared to $22.3 million in 2024, with an adjusted EBITDA margin expanding to 14.5%, up from 13.7%. Turning to the balance sheet. On December 31, we had $36.7 million in cash and total debt of $7.6 million, which consisted entirely of finance leases, resulting in a net positive cash position of $29.1 million. The borrowing base availability under our undrawn ABL facility was $24.4 million, resulting in total liquidity of approximately $61 million. Turning now to a few points of guidance for the 2026 first quarter. We currently expect first quarter total revenue in the range of $49 million to $53 million, implying an increase of 2% at the midpoint compared to 2025. We expect U.S. revenue to range from $19.5 million to $20.5 million, international revenue from $3 million to $4 million, and Canadian revenue from $26.5 million to $28.5 million. Adjusted gross margin is expected to be between 39% and 41%, a modest decline compared to 2025. Adjusted EBITDA is expected to be between $6.5 million and $8.5 million. Our first quarter depreciation and amortization expense is expected to be approximately $1.6 million. With that, I will hand it back over to Ryan, who will provide our full year 2026 guidance and closing remarks.
Ryan Hummer: Thank you, Mike. We expect the market environment to be challenging again in 2026. Based on our current outlook, we expect flat to lower overall customer activity in North America for 2026 compared to 2025, and for customer activity to increase in the primary international markets that we serve, though the improvements are likely to be weighted towards the back half of the year, especially in the Middle East. Accordingly, our full year guidance for 2026 is as follows: We currently expect full year revenue to range from $184 million to $194 million and for full year adjusted EBITDA to be between $26 million and $29 million. We expect our revenue growth to come primarily from the U.S. and international markets, where we are well positioned to outperform underlying market trends through continued market share gains, particularly at Repeat Precision, and also through new product adoption and continued international expansion. We currently expect Canadian revenue to be lower year over year as we face some headwinds from a lower total rig count, especially in Q1, and from specific customer consolidation that is likely to result in reduced pro forma activity levels. Our financial guidance does not incorporate any meaningful additional impacts from the currently volatile trade environment, including the potential imposition of new or retaliatory tariffs involving the U.S., Canada, and Mexico. The guidance also does not reflect the potential impact of the current conflict in the Middle East, either on operations in the region or potentially resulting from a sustained increase in commodity prices. We expect our gross capital expenditures for 2026 to be between $1.5 million and $2.0 million. In addition, we paid $1.5 million of contingent consideration associated with the ResMetrics acquisition in January 2026, which will be reflected in cash flow from investing activities. We expect our free cash flow after distributions to our JV partner of $12 million to $16 million, further strengthening our robust balance sheet and positioning us to pursue strategic investment opportunities. Due to the seasonality of our business, and consistent with prior years, we would anticipate that the achievement of our annual adjusted EBITDA guidance range will be weighted towards the second half of the year, with free cash flow weighted towards the end of the year. Before Q&A, I will close with a few comments. I am very proud of what the team at NCS Multistage Holdings, Inc. accomplished in 2025. We grew revenue, adjusted EBITDA, and free cash flow in a challenging market environment, delivering the benefits that we expect as we executed our strategic plan. We have the infrastructure in place to support revenue growth. Over time, we would expect our incremental adjusted EBITDA margins to be 25% to 35%. We are benefiting from the successful introduction of new solutions that meet the needs of our customers, adding to our portfolio and expanding our addressable market. We are operating as a unified tracer diagnostics business with ResMetrics. We have completed the work required to realize most of the anticipated synergies of this combination, with more benefit to come as we consolidate our U.S. lab and manufacturing footprint and increasingly focus on revenue synergy opportunities. We maintain a strong balance sheet and liquidity position, with total liquidity, including availability under our revolver, of over $61 million. We are efficiently converting our adjusted EBITDA to free cash flow, with free cash flow after distributions to noncontrolling interest totaling $19 million in 2025, which constituted over 70% of adjusted EBITDA. We expect our free cash flow after distributions to noncontrolling interest to exceed 50% of adjusted EBITDA again for 2026. As of yesterday, the midpoint of our free cash flow guidance for 2026 would represent a free cash flow yield of approximately 132% to our market capitalization. Finally, we uploaded our new investor presentation yesterday, which touches on a few of the items I discussed earlier in the call: our efforts to open new addressable markets, the progress we are making on the areas of emphasis from our corporate strategy, and the actions that we are taking across our product lines to improve profitability. We also added a new slide highlighting our return on invested capital, which illustrates the significant improvement in our business over the past few years. While we continue to be focused on core metrics, including revenue and EBITDA growth, margin improvement, and free cash flow, I think it is important to keep in mind that we are competing for investment capital not only with our industry peers, but the broader market as well, and return on invested capital is an important indicator of a company’s ability to create value for its shareholders over time. I am proud of the progress we have made, achieving after-tax returns of over 11% in 2025, reflecting our disciplined capital allocation and the operating leverage inherent in our business as we grow. Over time, our objective is to continue to improve our returns, with a medium-term objective of 15%, which we believe to be highly competitive across industries. With that, we welcome any questions from the audience.
Operator: Press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please limit yourself to one question and one follow-up in the interest of time. We will now open for questions. Please stand by while we gather the candidate roster. One moment for our first question. Our first question will come from the line of Dave Storms from Stonegate. Your line is open.
Dave Storms: Morning, and thank you for taking my questions.
Ryan Hummer: Morning, Dave.
Dave Storms: Just wanted to get started with the puts and takes on guidance. I know there is now a couple of quarters in a row you guys have telegraphed that a lot of your revenues this year are going to be weighted towards the back half. Is there potential for some of that to get moved up, or is a lot of maybe some of the Middle East stuff still in qualification phases that is pretty locked into Q3, Q4?
Ryan Hummer: Yeah, Dave. I think you will see that profile continue. Right? Part of it has to do just with the seasonality of our business and our weighting to the Canadian market where, while Q1 is generally relatively strong, we see spring breakup in the second quarter and then more normalized activity in the second half of the year. Certainly, acquisition of ResMetrics, which is more U.S. and international focused, will help to mitigate that bit, as well as some of the market share gains that we have made with frac plugs in Canada, which tend to go to work that is more year-round. But I think we will continue to see that seasonality. I think as we look to certain specific opportunities, you know, for NCS Multistage Holdings, Inc., they are not just kind of market-driven. We do see a lot of the projects for 2026 developing such that we will see that pattern again with the majority of the earnings and the cash flow coming in the back half of the year.
Dave Storms: Understood. That is very helpful. Thank you. And then I know you mentioned in your prepared remarks, you spent a little bit of time talking about some of the cross selling that you have been able to do specifically in Canada. Is it too early to talk about some cross selling potential in the Middle East with the ResMetrics, excuse me, with the ResMetrics transaction, or should we still wait on that until later in the year?
Ryan Hummer: Yeah. So with ResMetrics internationally, we started to see some benefits. It is really more within North America, however. For example, I mentioned a product, a type of particulate tracer that ResMetrics has called SmartProp that was developed and utilized initially with their customers in the U.S., and we have now deployed that and have utilized it with some customers in Canada who really appreciate that technology. We are seeing, and what I would say is, kind of as you look to international markets, we are really looking at the combination of some of the new technologies that we have across that tracer diagnostic platform. One of those that is really applicable internationally is something called RapidTrace, and that is an on-site tracer detection capability for us. And that really brings value in remote markets where it might be hard to collect a sample and ship it to a lab and wait for that time to see results, but also where decisions that you make as you see that tracer result can enable a customer to take an asset off location and save significant dollars. So that is one of the things I think will help us in multiple international markets. The international work that ResMetrics has is really under long-term contracts. We mentioned they have work in the Emirates and in Kuwait. So those contracts, because they are multiyear, can certainly work to expand scope. We can also work to bring some of the best practices we identify across the organization. But as far as kind of revenue cross selling, that will take a little bit more to develop outside of North America.
Dave Storms: That is great color. Thank you. I will get back in line.
Operator: Thank you. Once again, that is 11 for questions. 11. One moment for any questions to queue up. Alright. One moment for our next question. We have a follow-up from Dave Storms from Stonegate. Your line is open.
Dave Storms: Appreciate that. I did also want to ask maybe about what you are seeing in the North Sea. I know it tends to be pretty project by project. Maybe just any updates on the pipeline there as you continue to expand deepwater and some other unique capabilities.
Ryan Hummer: Yeah. Thanks, Dave. Obviously, North Sea has been a great success story for us over the last several years, especially with our fracturing systems technology. I believe last year in 2025, we worked with, I believe it was seven customers across the North Sea, either having sold sleeves or, you know, complete completions work out on the platforms. And I mentioned earlier in the comments that, you know, we have orders in place to add two customers to that roster that are operating in, you know, the Dutch sector of the North Sea. So we are now, you know, working with customers in Norway, in the U.K., in the Netherlands. So, yeah, I think just the breadth of the customer base that we have developed speaks to kind of the product market fit that we have in that region and the results that customers are seeing utilizing that technology. And I think in a prior call, we might have mentioned, you know, a workshop that we held in Norway where we had great, you know, customer engagement and feedback for operators that were operating not just in Norway but across the entire region. So we feel, you know, really, really good about the work that we have in the North Sea. So as far as kind of how that might develop and play forward and, you know, that technology into other markets? You know, one of our North Sea customers is a project partner in the deepwater Gulf of America well that we expect to participate in later this year. So you have some connectivity there. There is also a customer that we have in the North Sea that we are talking to about other project opportunities in shallow water markets outside of the North Sea. So, you know, I would expect that to continue to develop over the course of the next year or two, but we certainly are looking to build on that success in shallow water offshore markets, taking that outside of the North Sea and then leveraging and moving into mid and deeper waters over time as well with our technology.
Dave Storms: If I could just ask one follow-up on that. You mentioned the drill that you are expecting later this year in the Gulf of America. It is kind of a new market opportunity for you. How would you characterize maybe in the medium to long term some of your other new market opportunities that you might go after?
Ryan Hummer: Yeah. No. Thanks for the question, Dave. And I think one of the things that came through in the prepared comments is the work that we have been doing to open up new addressable markets for our technology. So certainly, the deepwater is one, and that is a long, you know, a long sales cycle and product development cycle to get to it. So we feel really encouraged to be able to deploy that technology for the first time, hopefully, this year, and we believe that will open up additional opportunities with that customer, but then, you know, also opportunities for other customers that are targeting the same type of reserves going forward. The other areas where, you know, we have, you know, development initiatives in place, one is higher temperature more broadly. That does play into some deepwater markets. It is offshore in traditional oil and gas. It also plays into the thermal oil developments in Canada. I had mentioned SAGD. It also plays into enhanced geothermal systems, where customers are looking to leverage technology developed by the oil and gas industry, horizontal drilling, hydraulic fracturing, to access, you know, the heat in situ, you know, deep underground to provide baseload power that can be used to power data centers and other things. So I think, you know, the SAGD or the heavy oil market in Canada is one that we feel, you know, will open up some opportunities for us over the medium term. I think geothermal is one as well. Those are all relatively early days, will take time to scale, but good examples of what we are looking to do to participate in those markets. The other one is that, you know, historically, we focused primarily on supporting our customers during their completions. And within our fracturing systems portfolio, we do have an enhanced recovery suite of technology. You know, historically, that has been around what we would call injection control, so helping customers be more precise in the way they inject fluid, typically water, but in a waterflood or secondary recovery regime, when they are doing that with a horizontal injector, to being able to compartmentalize the well to create efficient sweeps and optimize the value of those waterfloods. We do have a development underway which is called TERIS AICV. I mentioned that earlier, which is more of a production control solution, which should help our customers to reduce the water cut that they are seeing in their wells, and, you know, handling produced water is an expense for our customers. So the deployment of the solution, we can help them reduce their production operating costs, but then also, through kind of preferentially producing through this specialized valve, preferentially producing the oil relative to the water, you may be able to see an oil production uplift as well. So if we can help our customers both improve their revenue profile and reduce their cost profile on existing assets, that is something that we think will have good application for our customers in the industry over time. And then, again, sort of speaking to one of your earlier questions on the ResMetrics integration and how that plays into some of this enhanced recovery and production space. Historically, we have been a little bit limited in our ability to pursue deploying tracers in waterflood projects. But with some of the new lab and chemical deployment techniques that, you know, we have been able to utilize from that ResMetrics brought to the table, that has opened up new opportunities for us in the production space on the waterflood, and our Canadian team in particular has been very successful this year going out and participating in projects that we probably were not as competitive in before without those capabilities.
Dave Storms: That is great color. I really appreciate it. Thank you for taking my questions, and good luck in the quarter.
Ryan Hummer: Alright. Appreciate it. Thanks, Dave.
Operator: Thank you. Once again, that is 11 for questions. 11. And I am not showing any further questions in the queue. I would now like to turn it back over to Ryan Hummer, CEO, for closing remarks.
Ryan Hummer: Thank you, Victor. On behalf of our management team and board, we would like to thank everyone on the call today, including our shareholders and analysts, and especially our employees. I truly appreciate the depth and breadth of the expertise of our people at NCS Multistage Holdings, Inc., at Repeat Precision, and the folks that have joined us from ResMetrics, and the passion and the effort that our people bring to their work. Our team continues to provide excellent service to our customers, commercializing new products and services that will enable our customers to be more successful. We are taking on demanding and technically challenging work and delivering results. We appreciate everyone’s interest in NCS Multistage Holdings, Inc. We look forward to speaking again on our next quarterly earnings call.